Operator: Good day, ladies and gentlemen, and welcome to the Trans World Entertainment Fourth Quarter 2018 Results Conference Call. [Operator Instructions] At this time, it is my pleasure to turn the floor over to your host, Michael Feurer, CEO. Sir, the floor is yours. 
Michael Feurer: Good morning. Thank you for joining us as we discuss our fourth quarter and annual results. On the call with me today is Ed Sapienza, our Chief Financial Officer.
 For the fye segment, comparable store sales increased 2.8% with a 210 basis point improvement in gross margin. This marked the second consecutive quarter of positive comp sales. Our customers continue to respond positively to the changes in our merchandise assortment and presentation that were made to counter the declining mall traffic and the ongoing declines in physical media.
 For etailz, in response to decline in operating results, we've engaged outside support and initiated certain strategic initiatives to create operational efficiencies directed towards improving the etailz segment's performance and cash flow. We remain confident in the underlying opportunity afforded by etailz as a top marketplace retailer and service provider.
 During the fourth quarter, etailz initiated cost-saving steps to support operating model changes and a leaner organization that is aligned with our future business focus. As part of such initiatives, an approximately 30% reduction in force was implemented during the fourth quarter. 
 The annualized impact of our cost-savings initiatives is expected to be approximately $4.5 million. In addition, the company has rationalized its vendor portfolio in an effort to improve profitability, including rationalizing unprofitable vendors and renegotiating vendor terms to enhance gross margins and supply chain efficiencies.
 Now Ed will take you through financial results for the fourth quarter and fiscal year. 
Edwin Sapienza: Thanks, Mike. Good morning, everyone. Consolidated revenue for the quarter was $127 million versus $145 million last year, a 12% decline. Comparable sales for the fye segment improved 2.8% compared to the same period last year. In our lifestyle categories, comp sales increased 6.5% for the quarter. These categories represented 44% of fye segment sales compared to 41% last year. Electronics comp sales increased 8.4%. Electronics represented 17% of fye segment sales compared to 16% last year.
 Our media categories comp sales declined 2.4% for the quarter and represented 39% of fye segment sales compared to 43% last year. Music sales increased 2%, and video sales were down 5%. 
 In the etailz segment, revenue for the fourth quarter was $49 million, a decline of 8% as we initiated our vendor rationalization. Etailz's revenue contributed 38.1% of total consolidated revenue during the quarter as compared to 36.5% for the same period last year.
 Consolidated gross profit for the quarter was $37.3 million or 29.3% compared to $40.8 million or 28% last year, an improvement of 130 basis points. 
 In the fye segment, the gross margin rate was 35.6% compared to 33.5% last year, an improvement of 210 basis points. In the etailz segment, gross profit for the fourth quarter was $9.2 million or 18.9% of revenue versus $9.9 million or 18.6% last year. 
 Consolidated SG&A expenses for the quarter were $39.5 million or 31% of revenue compared to $42.4 million or 29% last year. In the fye segment, SG&A expenses decreased $3 million or 9.5% to $27.9 million compared to $30.9 million last year. On a rate basis, SG&A expenses in the fye segment were 35.4% of revenue compared to 33.4% last year. The decline in SG&A expenses was due to lower expenses from fewer stores in operation.
 In the etailz segment, SG&A expenses for the fourth quarter were $11.6 million or 23.9% of revenue compared to $11.5 million or 21.7% of revenue for the same period last year.
 Driven by noncash charges of $59.7 million from recording impairments against certain fixed assets, intangible assets and goodwill, the consolidated operating loss for the quarter was $65 million compared to an operating loss of $32.7 million last year, which included impairment charges of $29.1 million. Fye adjusted loss from operations was $1 million compared to an adjusted operating loss of $2.4 million last year. Etailz adjusted loss from operations was $2.6 million for the fourth quarter as compared to an adjusted loss of $934,000 last year.
 For the quarter, our consolidated net loss was $65.2 million or $1.80 per diluted share as compared to a net loss of $32.5 million or $0.90 per diluted share last year.
 Consolidated adjusted EBITDA for the quarter was a loss of $2.3 million as compared to a loss of $835,000 last year. 
 Now let me touch on our annual results.  Fiscal 2018 consolidated revenue was $418 million compared to $443 million for the same period last year. Consolidated net loss was $96.9 million or $2.67 per diluted share compared to a net loss of $42.6 million or $1.18 per diluted share for the same period last year.  Consolidated adjusted EBITDA was a loss of $23.8 million compared to a loss of $7.8 million last year.
 Cash and cash equivalents at the end of fiscal 2018 were $4.4 million compared to $31.3 million last year. As of February 2, 2019, we did not have any borrowings under our credit facility. Inventory was $95.3 million versus $109.4 million last year. In the fye segment, inventory per square foot was $60, the same level as last year. We ended the year with 210 stores and 1.2 million square feet in operation versus last year's 260 stores and 1.4 million square feet. 
 Now I'll turn it back over to Mike. 
Michael Feurer: Thanks, Ed. In the fye segment, unique merchandise and experiences associated with the tremendous amount of entertainment and pop-culture content being created is our opportunity. Efforts to change our merchandise point of view based on unique, relevant, collaborative and exclusive merchandise have been well received by our customer and will drive the continued reinvention of the fye brand throughout 2019.
 For etailz, our recent strategic initiatives and long-term strategic plan are focused on strengthening the core business and improving profitability, which will be used to fund growth initiatives and innovation for the future. 
 This concludes our call. I would like to thank you for your time today, and we look forward to talking to you about our first quarter results in June. Thank you. 
Operator: Thank you. This does conclude today's conference. We thank you for your participation.  Have a great day.